Operator: Good afternoon, ladies and gentlemen, and welcome to Verra Mobility's Fourth Quarter 2022 Earnings Conference Call. My name is Julie, and I will be your conference operator today. This call is being recorded.  I would like to turn the presentation over now to your host for today's call, Mark Zindler, Vice President of Investor Relations for Verra Mobility. Please go ahead, Mr. Zindler.
Mark Zindler : Thank you. Good afternoon, and welcome to Verra Mobility's fourth quarter 2022 earnings call. Today, we'll be discussing the results announced in our press release issued after the market closed. With me on the call are David Roberts, Verra Mobility's Chief Executive Officer; and Craig Conti, our Chief Financial Officer. David will begin with prepared remarks, followed by Craig, and then we'll open up the call for Q&A. During the call, we'll make statements related to our business that may be considered forward-looking, including statements concerning our expected future business and financial performance, our plans to execute on our growth strategy, the benefits of our strategic acquisitions, our ability to maintain existing and acquire new customers, expectations regarding key operational metrics and other statements regarding our plans and prospects. Forward-looking statements may often be identified with words such as we expect, we anticipate or upcoming. These statements reflect our view only as of today, March 1, 2023, and should not be considered our views as of any subsequent date. We undertake no obligation to update or revise any forward-looking statements. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our annual report on Form 10-K and our Form 10-Qs filed during 2022, which are available on the Investor Relations section of our website at ir.verramobility.com and on the SEC's website at sec.gov. Finally, during today's call, we'll refer to certain non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measure is included in our earnings release, which can be found on our website at ir.verramobility.com and on the SEC's website at sec.gov. With that, I'll turn the call over to David.
David Roberts : Thank you, Mark, and thanks, everyone, for joining us today. For today's call, I'm going to first provide a high-level discussion on our outstanding fourth quarter results and key drivers. I'll move on to a discussion of several key trends that are shaping the smart mobility market before closing with our strategic priorities that will influence our 2023 operating plan and build upon the foundation for the long-term outlook we outlined at our Investor Day in July 2022. We delivered fantastic fourth quarter results, highlighted by robust revenue and adjusted EBITDA generation and strong free cash flow. Fourth quarter revenue of $186 million exceeded our expectations and was primarily driven by strong tolling trends in our Commercial Services segment. Adjusted EBITDA of $84 million for the fourth quarter also exceeded our forecast, driven by volume-based operating leverage in both Commercial Services and Government Solutions. Our strong results are aligned with two macro trends across our operating segments. First, we're seeing continued strong travel demand by both consumers and businesses, particularly in the U.S. The major U.S. airlines have cited strong or significant bookings in their recent quarterly earnings announcements. The second macro trend is the continued push for safer roads in communities, which drives the need for investments in automated safety enforcement. Traffic fatalities in the U.S. reached a 16-year high in 2021. And while early estimates are showing a very slight improvement in 2022, these numbers are simply unacceptable. Transportation officials, elected officials and safety advocates will be looking for technology solutions that can save lives that make transportation more efficient for everyone. Starting with Commercial Services. The team again delivered strong performance. Revenue of approximately $82 million for the quarter represented a 14% increase over the same period last year. And compared to pre-pandemic levels, we achieved 20% growth over the fourth quarter of 2019. There were several factors driving this performance. First, TSA throughput continued to approach pre-pandemic volume, reaching 94%, 2019 levels for the fourth quarter. In addition, key performance indicators included adopted rental agreements and rental duration experienced growth over the same period last year. Lastly, the secular trends underpinning these business drivers, continued conversion to cashless tolling, rack, refleeting and new toll roads continue to positively impact our business. Cashless tolling reached 64% this past year and 6 new U.S. toll roads were implemented in 2022 as well. In addition, Florida and Georgia recently announced significant investment plans to expand toll lanes over the next 3 to 5 years. Moving to our Government Solutions business. We generated total revenue of $85 million with $82 million being recurring service revenue. Service revenue increased 10% over the fourth quarter of the last year, driven by the completion of the New York City’s school zone speed installation. Government Solutions margins were about 36% in the fourth quarter, basically flat with the prior year. T2 Systems delivered revenue of $20 million with adjusted EBITDA of $4 million; and for the full year, revenue of $79 million and adjusted EBITDA of $14 million. Full year revenue growth was about 11%, which was slightly below our expectations. SaaS and service revenues were in line. However, hardware sales were slightly below expectations for both the fourth quarter and the full year due to customer requested installation timing. Craig will further elaborate, including the actions being taken in his prepared remarks. In summary, the fourth quarter was another outstanding quarter of top line growth, strong adjusted EBITDA and free cash flow generation, the secular trends driving our performance are durable, and we continue to experience strong operating momentum in each of our business segments. Turning to the balance sheet and capital allocation. I'm pleased to report that we lowered net leverage a full turn over the course of 2022, ending the year at 3.3x adjusted EBITDA. In addition, we repurchased $125 million of shares over the course of 2022. And in November, as we previously reported, our Board of Directors authorized a new share repurchase plan of $100 million. Furthermore, we also remediated all material weaknesses reported in our 2021 Form 10-K. This is a significant accomplishment by the entire organization. Thank you to all the employees that drove this change in implementation of our new controls and processes. Compliance is critical to our company, our customers and our shareholders, and we take it very seriously across the organization. Overall, 2022 was a record year in Verra Mobility's history, setting new all-time highs in revenue, adjusted EBITDA, adjusted EPS and free cash flow. We entered 2023 with significant business momentum in each of our segments underpinned by strong secular trends. Travel demands remain strong and durable. TSA throughput in the first quarter of 2023 is currently exceeding 2019 levels and forward-looking travel demand as communicated by major U.S. airlines remain strong. Second, we continue to experience a shift in cashless tolling across the U.S. in an effort to improve efficiencies and reduce congestion. For example, in the second half of 2022, both the Lincoln Tunnel and George Washington Bridge transitioned completely to cashless tolling. With that, all bridge or tunnel crossing into New York City have eliminated toll booths for payments. We expect the automated payments trend to continue on more toll roads across the country. Third, we expect to see cities place a renewed focus on Vision Zero safety programs, which includes investments in automated enforcement to reverse a troubling trend of traffic-related fatalities. And lastly, over the longer term, we expect to see cities make efforts to improve urban mobility in their communities through investments in curve management solutions and automated bus lane enforcement, which our parking and government platforms are well positioned to serve. With that as a background, I will turn to our top strategic priorities in 2023. Over the past year, we have implemented what we call the Verra Mobility Operating System, or VMOS. It's a robust standard business system that drives growth, efficiency and talent development. At the heart of VMOS are three strategic pillars: drive core business outcomes, build the Verra Mobility of the future, and create an engaging and fulfilling workplace. As you'll see on Slide 6, in 2023, we have established key objectives for each of these 3 pillars, focusing on financial execution of the 2023 annual plan, furthering our position in core markets, pursuit of accretive expansion opportunities, accelerating our portfolio model adoption and making Verra Mobility a best place to work. Through execution of our three strategic pillars, we are poised to deliver superior long-term value creation for all stakeholders. Next, I'll drill down a layer and focus on key priorities for each of our business segments, as described in more detail on Slide 7, 8 and 9. In Commercial Services, where we benefit from strong secular tailwinds, including increased adoption of cashless tolling, new toll roads and rack refleeting, we are focused on growing the core while simultaneously capitalizing on numerous expansion opportunities. Our top priorities are renewing our agreement with Enterprise, adjacent expansion opportunities primarily focused on fleet management, expansion and European growth, and laying the foundation to capitalize on next-generation connected fleet opportunities. In Government Solutions where we benefit from a strong and growing interest in automated enforcement for road safety and improved traffic flow, our top prior are opening new cities and states through enabling legislation, continued investments in our industry-leading software platform and pursuing emerging opportunities across urban mobility through strategic M&A and partnerships. And finally, in T2 Systems, where we have significant runway, continued growth and profitability in the university segment as well as our focused efforts to penetrate the municipality segment, our focus is on the following priorities: pursuit of new logo business and increasing share of wallet with existing customers, expansion into mid- and large-scale municipalities, and investments in platforms to drive new revenue streams with dynamic pricing as an example. These are our top priorities as we execute our strategy in 2023, and I'm incredibly excited about the business. The fundamentals are strong and durable. We have the right management team in place and a proven operating model to create significant value. Before I turn things over to Craig, I want to close with a message about our July 22 Investor Day and the long-term outlook we provided. I am pleased to report that the fundamentals we contemplated in our long-term outlook have not changed and we remain upbeat and about it meeting or exceeding the financial forecast we provided. Craig will further elaborate in his prepared remarks. Craig, I'll turn it over to you to guide us through our financial results and 2023 guidance.
Craig Conti: Thanks, David. Good afternoon, and thanks to everyone for joining us on the call. I'll start out today by providing an overview of our fourth quarter and full year 2022 results followed by our 2023 financial guidance. And I'll conclude with discussions on clients, capital allocation and our long-term outlook. Let's turn to Slide 11, which outlines revenue and adjusted EBITDA performance for the consolidated business. Total revenue increased approximately 9% year-over-year to about $186 million for the quarter, driven by strong operating performance across the company and the inclusion of T2 Systems in our financial results for a full year. On an organic basis and excluding New York City hardware sales, we grew 16% year-over-year. Expanding on this point, given the prior year included an incremental $21 million of product sales from the New York City camera installations, revenue growth is the best proxy for our performance. Q4 service revenue grew 24% over the same period last year, of which 16% was organic growth. This growth was attributable to several factors: first, Commercial Services grew 14% year-over-year; second, Government Solutions service revenue increased by about 19% over the prior year; and finally, T2 Systems contributed about $15 million of service revenue. As a reminder, we closed the T2 Systems acquisition in early December 2021, so only three weeks of T2 revenue was included in the prior year quarter. Product revenue was $7 million for the quarter, of which $5 million was from T2 Systems. Finally, from a total profit standpoint, consolidated adjusted EBITDA of $84 million increased by approximately 5% over last year. On an organic basis, excluding T2 Systems and New York City product sales, adjusted EBITDA growth was approximately 14% versus 2021. Turning to Slide 12. For the full year, we delivered total revenue of $742 million and adjusted EBITDA of $339 million, resulting in margins of about 45.6%, all of which exceeded our most recent financial guidance provided during our third quarter earnings call. From a free cash flow perspective, our conversion rate from adjusted EBITDA was 50%, resulting in $170 million of free cash flow for the year, consistent with our expectations. Moving to Commercial Services on Slide 13. We delivered revenue of about $82 million in the fourth quarter, increasing $10 million or 14% year-over-year. RAC tolling increased 9% over the same period last year, driven by robust travel volume, increased product adoption and a slightly smaller impact in Florida from Hurricane Ian than we originally anticipated. Our non-RAC fleet expansion efforts continue to pay off with FMC revenue increasing 18% over the prior year quarter. The FMC business is now a $50 million annual revenue stream for the company and growing. Fourth quarter adjusted EBITDA in Commercial Services was $49 million, representing $12 million -- a 12% year-over-year growth. Adjusted EBITDA margins of about 60% reflected normal sequential seasonality and were down slightly compared to the fourth quarter of last year, primarily due to growth investments. For the full year, Commercial Services generated $326 million of revenue or 25% growth over last year. Adjusted EBITDA of $209 million resulted in margins of about 64%, a 250 basis point improvement over prior year driven by volume-based operating leverage. Let's turn to Slide 14, and we'll take a look at the results of the Government Solutions business. Driven primarily by our New York City photo enforcement expansion efforts, service revenue increased by $13 million or 19% over the same period last year to $82 million for the fourth quarter. Due to the completion of the New York City camera installations, Q4 2022 product revenue of $2 million declined by about $21 million compared to the fourth quarter of last year. This was completely in line with our expectations. Going forward, we expect the Government Solutions quarterly product revenue run rate to be approximately $3 million per quarter and primarily driven by international programs. Adjusted EBITDA was $31 million for the quarter, representing margins of 36%, roughly flat with the prior year quarter. For the full year, Government Solutions generated $337 million of total revenue, a 19% increase over 2021 and adjusted EBITDA was $116 million for the year, a 7% increase over last year. Full year revenue and adjusted EBITDA growth were driven by New York City installations and a full year of Redflex included in our financials. Let's turn to Slide 15, and we'll take a look at the results of T2 Systems, which is our Parking Solutions business segment. Revenue of $20 million and adjusted EBITDA of approximately $4 million were slightly below expectations for the quarter due to customer-requested installation timing on certain product sales. We're very pleased with the levels of software and service sales. These were in line with expectations, but hardware sales proved to be slightly choppier than we had anticipated. We are leveraging the Verra Mobility operating system to drive initiatives to build and strengthen the quality of the pipeline and to improve the forecasting process. For the full year, T2 delivered revenue of $79 million or approximately 11% growth over last year and adjusted EBITDA of $14 million. Okay. Let's turn to Slide 16 and take a look at reported income and leverage. In Q4, we reported net income of approximately $28 million for the quarter, which compares to net income of $19 million in the same period in the prior year. Adjusted EPS, which excludes amortization, stock-based compensation and other nonrecurring items, was $0.25 per share for the current quarter compared to $0.24 per share in the fourth quarter of 2021. For the full year, we generated net income of approximately $92 million, including a tax provision of $35 million, representing an effective tax rate of 27%. Adjusted EPS was $1.02 for the year, a 29% increase over fiscal year 2021. On the right-hand side of the page, you can see that we ended the year with a net debt balance of about $1.1 billion, resulting in net leverage of 3.3x for the year. This is down from 4.3x net leverage at the close of 2021. The gross debt balance at quarter end was slightly over $1.2 billion, of which approximately $886 million was floating rate debt. During the fourth quarter, we entered into an interest rate swap agreement to hedge approximately 80% of our floating rate debt with a float for fixed rate swap. The floating portion of our LIBOR plus 325 basis point Term Loan B will be fixed at a rate of 5.2% for 3 years with a monthly option to cancel beginning in December of 2023 that we can exercise in the event rates move in our favor. Moving on to cash. We generated approximately $70 million in cash flow from operating activities, resulting in $57 million of free cash flow for the quarter. For the full year, we generated $170 million of free cash flow or 50% conversion of adjusted EBITDA, which represented $1.07 free cash flow per share. During the fourth quarter, we completed the final settlement of our $125 million share repurchase program. In total, we repurchased approximately 8 million shares under the program. In addition, our Board of Directors authorized a new 18-month $100 million share repurchase program in November of last year. We will provide quarterly updates as to the repurchases made under this new authorization. Now let's shift gears a bit and talk about our views on 2023, which is looking like it will be another solid year for the company. Let's turn to Slide 17. As you can see, we have broadened the financial measures we are guiding to in fiscal year 2023 to better align with our shareholder value creation objectives, which we laid out at our Investor Day last summer. We expect total revenue in the range of $780 million to $800 million, representing approximately 5% to 7% growth over 2022. On a constant currency basis, the growth is adjusted upward to a range of 6% to 8%, consistent with the long-term outlook we shared at our Investor Day in July. We expect adjusted EBITDA in the range of $360 million to $370 million, representing approximately 8% growth at the midpoint over 2022. We expect an adjusted EBITDA margin of about 46%, representing approximately 50 basis points of margin expansion year-over-year. In Commercial Services, we expect high single-digit revenue growth, driven by increased TSA volume and increased product adoption. In addition, we are expecting increased FMC revenue. Consistent with historical trends, first quarter is forecast to be our lowest revenue-generating quarter followed by sequential revenue increases in the second and third quarters, followed then by a revenue decline in the fourth quarter as the summer driving season comes to a close. As a reminder, all revenue in this segment is service revenue. Government Solutions is expected to generate high single-digit service revenue growth driven by prior year completion of the New York City camera installations. The shift to 24/7 monitoring in New York City, the expansion of camera installations with other existing customers and new customers awarded in fiscal year 2022. As I mentioned earlier, product revenue is expected to decline to approximately $3 million per quarter due to the New York City installation completion. To give this greater context, while New York City service revenue is expected to increase almost 10% year-over-year, total 2023 New York City revenue will decline by about $6 million due to the decline in product revenue versus 2022. For Government Solutions overall, we're expecting low single-digit total revenue growth over last year. However, on a constant currency basis, Government Solutions is expected to drive mid-single-digit growth consistent with our Investor Day long-term outlook. Lastly, Parking Solutions revenue is expected to deliver high single-digit total revenue growth, driven by strong demand and a continued shift to SaaS and services with a lower weighting of hardware and revenue contribution. Consistent with T2's historical trends, we anticipate revenue, adjusted EBITDA and margins to ramp sequentially throughout 2023. For the company as a whole, we are guiding to a 2023 non-GAAP adjusted EPS range of $1 to $1.10, and the key assumptions supporting this outlook can be found on Slide 18. Most notably, total interest expense, including noncash charges, is expected to increase to about $96 million in fiscal year 2023, up from $69 million in the prior year due to the cost of the floating rate term loan debt. As I previously discussed, beginning in 2023, we entered into an interest rate swap agreement, which fixes the cost of the floating term rate loan debt at about 5.2% plus the 325 basis point spread with a monthly option to cancel beginning in December of 2023. Expanding on the balance sheet and our capital allocation priorities. I'm pleased to report that we paid down $50 million of our floating rate debt during the first quarter of 2023. This action, combined with the interest rate swap I detailed earlier, demonstrate our commitment to a balanced capital allocation approach and managing interest rate risk, consistent with the press release we issued on November 21 of last year. To that end, the $1 to $1.10 adjusted EPS range provided assumes a balanced approach to paying down debt and share repurchases and includes the $50 million debt repayment I discussed. We expect to generate a range of free cash flow of approximately $135 million to $155 million or a conversion rate of about 40% of adjusted EBITDA. The difference between the 40% conversion rate and our 50% long-term target is primarily attributable to higher interest payments in 2023 as well as increased cash taxes driven by reduced NOL utilization in 2023. Lastly, based on the adjusted EBITDA and free cash flow guidance, we expect to reduce net leverage to about 3x by year-end 2023. In addition to our 2023 financial guidance, we also reconfirmed our long-term financial outlook, and I'm pleased to report that we remain on track, as you could see on Page 19. In addition to meeting or exceeding all of our 2022 commitments, we see no changes to the fundamentals of our business performance. And while we expect to see pressure on our 50% free cash flow conversion target in 2023 and 2024 due to interest rates, we are confident in reaffirming our 2026 financial estimates. Lastly, as David briefly mentioned, we are pleased to report that we have fully remediated all of the material weaknesses disclosed in our 2021 Form 10-K. As a reminder, those material weaknesses were focused on the evaluation and monitoring of accounting activities associated with our acquisition of Redflex International, including revenue recognition and the valuation of acquired assets and the control environment surrounding our use of a third-party software application. In 2022, we hired additional resources and successfully instituted new controls to support purchase accounting activities and to more substantively monitor the ongoing activities of acquired companies. We also took corrective actions to address our reliance on the third-party software application by implementing a process to validate and reconcile the underlying data used by the application. This concludes our prepared remarks. Thank you for your time and attention. At this time, I'd like to invite Julie to open the line for any questions. Julie?
Operator: [Operator Instructions] Your first question comes from Daniel Moore from CJS Securities.
Daniel Moore : Let me start, just kind of high level remind us where we are on the curve as far as the shift to cashless tolling at this stage. How much of a tailwind do you expect that to be? And how long is that likely to last?
David Roberts : In the remarks, we talked about that we were about 64% in the U.S. market and we certainly see -- while it's hard to -- you can't necessarily put a numeric number, you see a lot of trends that I -- and I identified several specific ones in Florida and George and others where that is -- seems to be continuing. So we would anticipate that to be a trend for the next several years.
Daniel Moore : Very helpful. Curious, David. In terms of Europe, what are your goals for Europe for '23? What kind of milestones would you consider a successful year, whether that be revenue, new agreements, just general progress? Anything that would be helpful for us to track.
David Roberts : I don't think we're -- I mean while we have -- obviously, we're internally, we're working towards revenue. I think we're still in the place of, hey, do we have enough vehicles with current customers and enough locations that we can say we're finalizing proof of concept, improving the value to customers. So I think it's a bit of a combination, meaning we sort of look at enrolled vehicles on the program as the primary driver. That's the kind of the unit economic view. If we get that through one customer or several customers, that's fine. But we would also like to have a distributed view, meaning multiple countries.
Daniel Moore : Understood. Really helpful. And then just maybe talk a little bit about on the government services side, the level of dialogues regarding Vision Zero initiatives. Is it relatively steady? Or is it actually picking up given the traffic fatality numbers that you described there?
David Roberts : What I would say is even -- what I would say, as the traffic fatalities numbers were being reported and occurring, there was already a pretty significant increase, certainly in the countries that we're providing services in related to newer programs, expansions of current programs and even looking at other use cases. So I think it's -- I think that business has a very, very strong outlook for the next several years based upon some of the current dynamics.
Operator: Your next question comes from Dave Koning from Baird.
David Koning : I guess my first question, I often think about the Government Solutions, the services revenue kind of in the three parts, the New York service, other service, and then Redflex in there. About a 30 to Redflex, I think, is a little less than that. How did each of those do in the quarter? Because it seems like that continues to do extremely well. Like those three combined somehow do really well. And maybe kind of distinguish kind of which ones -- how fast each of them are growing or which ones are doing really well.
Craig Conti : Yes. So I'll take a shot at that. So I think you're right. We talked about the total business. If you take out New York City, you just look at GS, right, this is a double-digit grower. New York City services in the fourth quarter continued to grow. It's going to continue to grow next year. We talked about that in terms of being plus 10%. Redflex service, we continue to see mid-single-digit growth there, as you would anticipate. And really, as you look at GS year-over-year, I think the one thing that you have to take out of that, and as you probably well know, David, right, is the fact that we're going from a year where we had product sales, I'll make sure I'm going to give you the right number here, right, in the Americas of $20 million, right? We're going down to effectively nothing. And if you look at those product sales for Redflex, that was a $10 million year looking at another $10 million to $11 million a year. So the business continues to perform well. We're seeing growth across the board. The real idiosyncratic piece there is the New York City install ending in 2022.
David Koning : Yes. Okay. Okay. That's good. And then I guess the Parking business, you talked a little bit about Q4. I think you said the product was a little below your expectations. Has T2 overall, you've had it for just about a year now. Has that overall been in line? And did you say all through the year, you should have sequential growth in '23?
Craig Conti : I would say -- David, I'd say yes to both of those, right? It has continued to perform to our expectations. And the equipment thing really was a delivery -- acceptance of delivery in the last couple of days of the quarter. So when we talk about choppiness, I'm talking about 3 or 4 deals that we'll end up getting, I think, here in 2023. So it's continued to perform well. As we look at this business next year, we're looking at somewhere of an 80-20 split with 80% of SaaS and service and 20% of equipment. And that's exactly where we want that business to be, so we're very pleased.
Operator: Your next question comes from Faiza Alwy from Deutsche Bank.
Faiza Alwy : So I wanted to pick up on T2. I guess, give us a bit more color in terms of where you're seeing the most traction. At Investor Day, you talked about adjacent categories, you talked about how your market share is lower with Tier 2, Tier 3. You talked about additional sort of large cities. So give us a bit more color in terms of what you're expecting for '23 from T2?
David Roberts : Yes. I mean, I would say right now, the strongest is still in their home turf, which is in the university segment is strong and continuing to grow. They have an outstanding track record of not only keeping customers on very -- for long-term -- tenure of a long-term contract in addition to that expanding related services to that. So what I would say is that's still the core of the business. It's the backbone and it's continuing to grow. We're obviously looking at primarily how do we take those capabilities, in particular, on permits and enforcements and how do we bring those into other larger municipalities. T2 has done a really nice job in what you might call smaller, almost coastal vacation-oriented cities, and we're trying to bring that in. So we're making some investments in sales and marketing and organizational structure to make sure that we're supporting that with the right level of capability. And that's where we would anticipate the growth probably in the back half of this year and going into next year to be.
Craig Conti : Right. And just to tack on to that. We are expecting high single-digit organic growth out of T2 next year. We expect margin expansion of about 1 point from where they landed this year. So business is on a good trajectory.
Faiza Alwy : Great. And my next question was going to be on margins, so thank you for giving that color on T2. I was going to ask about the margin expansion that you expect from each segment. For Commercial Services, especially, I feel like, especially on a quarterly basis, like the quarterly cadence hasn't always been easy for us to figure out externally. So I know there are some dynamics in terms of what type of services you're providing. So maybe give us a bit more color in terms of what you're expecting on EBITDA margin expansion across the other two segments. And to the extent you can give us some thoughts around quarterly cadence of margins.
Craig Conti : Yes, sure. I'll unpack both of those for you. So I think going forward, into 2023, we expect to -- I'm going to start at the portfolio, Faiza, and drill down, okay? We're expecting about 0.5 point of margin expansion across the portfolio, which is consistent with what we said at Investor Day that we'd expect on an annual basis. So we feel good about that. If I look at how that shakes out, now this is just for the total year, I'll get to the quarterlies in a second in terms of volume. So for the total year, I expect the CS business to be up about 50 basis points. A lot of that is volume leverage, right? As that business continues to grow, it scales really well. And that's a high single-digit grower for us next year. I expect the GS business to be down slightly anywhere from 10 basis points to 30 to 40 basis points year-over-year. And really that doesn’t have anything to do with product mix but they have to do with some investments that we are making in the platform to make sure we can continue to grow at scale both domestically and internationally in the half of decade or so. So about flat, slightly down in GS. And like I just said on T2, I expect that to be up about 1 point. A couple of things there. We continue to win business. And as I mentioned, I expect that mix of business to start favoring SaaS and service to an 80% of the total, which is more than we saw in 2021 and certainly more than we saw in 2022. So that factors out to about 0.5 point for the company. Now if you're going to look at trending, I'm going to tell you what the CS trending looks like because I think that will probably make a little bit more sense and I'll be happy to tell you how that kind of adds up for Verra Mobility. And the reason why I make the distinction is Commercial Services grows through the third quarter, steps back in the fourth quarter, which is 45% of the business but 10-plus percent of the business is T2, which sequentially grows from the first quarter out to the fourth quarter. So it gets a little muddied at the total company level. So let's go through CS first. I expect the first quarter to look a lot like the fourth quarter. It will be down a little bit. Typically, the first quarter is our lowest revenue quarter of the year but it will be relatively similar to the fourth quarter, I think, of 2022. Then we'll grow high single digit to low double digits into the second quarter, as we typically do. We'll grow again into the third quarter, I would say, low single digits to mid-single digits. And then we'll step back in the fourth quarter, call it, mid-single digits. And that trajectory that I just gave you is what we're planning for 2023 and is also spot on to the arithmetic average of the three normalized years in our history. So that's CS. Did that track?
Faiza Alwy : Yes, that's very helpful.
Craig Conti : And then if you go and look at Verra in total, right? So we're going to -- the trend is the same, but it's a little bit muted. So I'll be down in the first quarter, a few ticks lower than I will be for just CS. Again, it's the lowest revenue-generating quarter of the year. We'll grow, I'd say, high single digits in the second quarter. We'll grow again mid-single digits or so in the third quarter. And then we'll step back mid-single digits in the fourth quarter, which is that the end of the 3Q summer driving season in CS circulating all the way through to the consolidated company results.
Faiza Alwy : Great. That's all that -- really appreciate all the color. Just my last question is, I think you mentioned as part of the Commercial Services growth drivers, you mentioned improving TSA volumes. So just wanted to just clarify that. Are you expecting growth? I mean, the way I've been looking at it is really TSA volumes as a percentage of 2019. Are you expecting that volume sort of get back to those pre-COVID levels in 2023?
Craig Conti : The short answer to your question is, yes, that's what we're expecting. I think the way I have the plan done right now, I think the second half of the year looks like 2019, the first half kind of ramps to get there. But in all fairness, I have to compare that to where we are in a February year-to-date basis, we're at 102% through February. Now this is not an exercise in false precision here. I do think over -- I would look at 2023 as a percentage of 2019. And in general, we expect to get back to 2019 levels, and that's where we have the business plan today.
Operator: Your next question comes from Louie Dipalma from William Blair.
Louie Dipalma : David, Craig and Mark, good afternoon. What is the expectation for the non-tolling services for your commercial division in terms of growth? And by non-tolling, I'm referring to like the violation, management and title and registration. Is there expected to be growth in those services as well coming off what appeared to be a pretty solid 2022?
Craig Conti : In totality, the answer is yes. We don't spike those out specifically in terms of growth rates. But I can tell you that if you look at the consolidated growth of the business, the RAC tolling piece is going to grow faster than the combination of the ones that you just mentioned. But yes, there will be growth year-over-year.
Louie Dipalma : Great. And for David or Craig. In January, you announced your zero-in initiative. I know it's early, but what has been the initial feedback? Do you expect other municipalities to follow the lead of New York City and Oslo?
David Roberts : Yes. I mean I think that's already been happening. Other cities have adopted that globally. I think what we were just trying to do is to make sure we wanted to draw attention that it's still relevant, it's still important and that we don't want to anyone to not stay focused on that, given the increase in traffic fatalities over the last year or so. So we wouldn't -- we believe a key driver of government solutions over the long term is an increased attention to traffic safety and congestion.
Louie Dipalma : Great. Another one on the Government Services division. David, you indicated that you're investing in software. What does that new software enable strategically for you?
David Roberts : Yes. I mean, I guess what I would just say is the software that we have has been -- it's the original software that the business was founded on. So we're just modernizing both the architecture as well as building in new capabilities and functionality to streamline the way that it's both built, coded and service. So just think of it as a bit of an update. Now with that, we'll obviously -- that will be our in the cloud web-based platform that we'll be using for the future that will also host a new functionality as we provided in the years to come.
Louie Dipalma : Great. And are there any, I guess, new features that you're able to implement with your existing cameras with the software such that -- I remember a few years ago for your red light cameras, you indicated that in certain situations, law enforcement would have the ability to tap into your feeds for your red light cameras or for your feed cameras. And right now, there seems to be a major focus on school safety, and you have a big network of cameras around schools. And so I'm wondering if there's any type of school public safety services that you could cross-sell or add on top of your existing services with your network of cameras.
David Roberts : Yes. I mean, I guess, point 1 is, yes, our customers have access to -- and local police and actually federal please have the ability to look into the cameras to look at video. That's a service that we provide as a part of the total package for our customers today. And two, we certainly are looking to the same extent that as we started off with schools on speed, we added school bus. There's obviously a portfolio of solutions that we could add there that don't necessarily have to be automated enforcement. They could be other sort of related types of technologies. I won't disclose anything specific, but just rest assured, that's certainly one of the categories that we're looking at.
Operator: [Operator Instructions] Your next question comes from Keith Housum from Northcoast Research.
Keith Housum : Dave, as we look at some of the legislative fronts out there, especially with the data that came out recently in terms of the pedestrian deaths, we talked about like Georgia and Virginia being states that have -- pass legislation recently. But any other states that are pretty far along that perhaps are close to passing legislation along more traffic enforcement cameras that as we look in the next year or 2, we see potential opportunities for you guys?
David Roberts : Yes. I would just be -- I mean, look, a lot of those states are in legislative sessions right now. And so I wouldn't say that I have a specific one that I would lean into. But obviously, we're continuing to look at key critical states such as California and Florida and others. We've also opened up -- I think it was last year that we opened up legislation in Washington State as well. So we're always on both -- we're always on offense on that, and we're looking. So -- but nothing that I would report to specifically right now and wouldn't do so until those laws are passed.
Keith Housum : Got it. Appreciate it. I think on the last quarter, you guys talked about opportunities in the construction zone camera space and a few large projects that perhaps are out there close to being signed. Any additional thoughts or context you can share in terms of the construction zone area?
David Roberts : Well, we have two working currently, and we obviously think it's something that is -- it's another growth vector. It was one of the benefits of the Redflex acquisition because that's not an area that we have previously played in. But when you look at the target of customers that we have today, it seems as if that's an area where legislators are also going to lean into in the days and years ahead. I don't have a specific pipeline or anything like that in front of me, but I would just say that it certainly is -- it's not dissimilar from school zone speed or school bus, which is it's a pretty rational belief that workers in work zones should have the opportunity to work so safely and that these types of tools are force multipliers and enablers of affecting that outcome.
Keith Housum : Okay. I appreciate it. If I could sneak one more in here. Last year, there was some discussion that you guys not yet won it, but there's potential for it, the 150 fixed busing cameras in New York City. Is that included in your guidance? Or is that the potential upside for the year?
David Roberts : It is not included in our guidance, so therefore, is upside -- potential upside.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes your conference call for today. You may now disconnect.